Operator: I would like to introduce Raji Gill, Vice President of Investor Relations for Skyworks.
Raji Gill: Thank you, operator. Good afternoon, everyone, and welcome to Skyworks' second fiscal quarter 2024 conference call. With me today is Liam Griffin, our Chairman, Chief Executive Officer, and President; and Kris Sennesael, Chief Financial Officer for Skyworks. This call is being broadcast live over the web and can be accessed from the Investor Relations section of the company website at skyworksinc.com. In addition, the company's prepared remarks will be made available on our website promptly after the conclusion during the call. Before we begin, I would like to remind everyone that our discussion will include statements relating to future results and expectations that are or may be considered forward-looking statements. Please refer to our earnings press release and recent SEC filings, including our annual report on Form 10-K for information on certain risks that could cause actual outcomes to differ materially and adversely from any forward-looking statements made today. Additionally, the results and guidance we will discuss include non-GAAP financial measures consistent with our past practice. Please refer to our press release within the Investor Relations section of our company website for a complete reconciliation to GAAP. With that, I'll turn the call over to Liam.
Liam Griffin: Thanks, Raji and welcome everyone. Skyworks posted solid results for the second fiscal quarter of 2024. We delivered revenue of $1.046 billion. We posted earnings per share of $1.55 and generated $300 million of operating cash flow, which reflects strong working capital management and operational excellence.
6E: We are in the early innings of a multiyear upgrade cycle, with high end access points now being offered. Over the coming quarters, we anticipate retailers to roll out mainstream models, followed by carriers and MSOs for their gateways and router products. The wireless infrastructure and traditional data center markets remained soft. We continue to undership natural demand as we allow the distribution channel and customers to consume excess inventory. Despite near-term headwinds, we remain bullish on AI workloads, driving upgrades to Ethernet switches and optical modules, a positive long-term driver for our advanced precision timing solutions. Lastly, automotive and industrial markets remain under pressure as they continue to undergo a steep inventory correction. However, we see opportunities for long-term growth in our automotive business. Automotive OEMs are increasingly focused on software defined vehicles, the connected car and in-cabin user experience, all of which are generating higher levels of radio complexity. Despite near-term headwinds, we remain positive on growing EV penetration, creating demand for our Power Isolation products. Our strategy is to leverage connectivity technology across multiple growth segments, including edge connected IoT devices, automotive electrification, and advanced safety systems and AI infrastructure. Connectivity is crucial in enabling AI on decentralized edge systems. Our RF technology powers applications like the connected home, building automation, smart cities, machine-to-machine, and wearables. We are particularly excited about the industry mandates and regulatory tailwinds leading to higher levels of connectivity inside the car. For example, the number of radios and antennas are growing in vehicles to support various communication standards, including 5G cellular, Bluetooth, Wi-Fi, ultra wideband, NFC, and CV2X. The multitude of radios create challenges around coexistence, external interference, and latency. Our advanced RF solutions can solve these complex problems for our OEMs. In data center, accelerated workloads supporting large language models are catalyzing networking and optical upgrades. We have a timing portfolio targeting next generation 800 gig and 1.6 terabyte Ethernet switches in optical modules enabling AI infrastructure. During Mobile World Congress in Barcelona, we were excited to see several AI enabled phones being introduced to the marketplace. We believe AI could propel a meaningful replacement cycle in the smartphone market, fueled by applications like real-time language translation, voice assistance, advanced camera and imaging, and on-device personalization. Over time, AI enabled phones could drive higher levels of RF complexity, including robust connectivity, higher throughput, further integration, and lower power consumption. Turning to our quarterly business highlights, we delivered integrated platforms to the leading 5G smartphone OEMs, including flagship and mid-tier models with Samsung, Google, Oppo, and others. We expanded our design win pipeline and initiated new programs in automotive, including infotainment systems, traction inverters, cloud enhanced driver assist, and CV2X. We secured several audio SoC designs with Sony and Samsung. In summary, Skyworks continues to execute well despite a challenging macro environment. While we are navigating near-term headwinds, we remain bullish on our long-term strategy. With that, I will turn the call over to Kris for a discussion of last quarter's performance and our outlook for Q3 of fiscal 2024.
Kris Sennesael: Thanks, Liam. Skyworks revenue for the second fiscal quarter of 2024 was $1.046 billion, slightly above the midpoint of our outlook. Mobile was approximately 66% of total revenue, down 19% sequentially. Broad markets were approximately 34% of total revenue, up 1% sequentially. Gross profit was $471 million with gross margin at 45%, in line with expectations. Gross margin was down 140 basis points sequentially reflecting our seasonally weakest period. Also during Q2, we further reduced our internal inventory by $91 million to $836 million, which reflects five consecutive quarters of reductions. Operating expenses were $192 million, below the low end of the guidance range, reflecting our disciplined focus on managing discretionary expenses while continuing to invest in our technology and product roadmaps. We generated $279 million of operating income, translating into an operating margin of 26.7%. We generated $4 million of other income and our effective tax rate was 11.3%, driving net income of $251 million and diluted earnings per share of $1.55, which is $0.03 above the guidance that we provided during the last earnings call. Despite the quarterly volatility, Skyworks business model generates strong cash flow. Second fiscal quarter cash flow from operations was $300 million. Capital expenditures were $28 million or less than 3% of revenue, resulting in a free cash flow of $273 million. We continue to drive robust cash flow through high levels of profitability, prudent working capital management and moderating CapEx. Also during fiscal Q2, we paid $109 million in dividends. Our cash balances grew to over $1.2 billion and we have $1 billion in debt. Our solid capital structure provides us with excellent flexibility and optionality. Now let's move on to our outlook for Q3 of fiscal 2024. We anticipate revenue of $900 million plus or minus 2%. We expect our mobile business to be down sequentially below normal seasonal patterns as excess inventory clears. In broad markets, we anticipate further modest sequential growth as inventory levels appear to be normalizing in certain end markets. Gross margin is projected to be in the range of 45% to 47%, improving 100 basis points sequentially at the midpoint. We anticipate gross margin expansion during the remainder of 2024, driven by our cost reduction actions, favorable mix shift and higher utilization rates. We expect operating expenses in the range of $192 million to $198 million as we continue to make strategic investments in mobile and broad markets to drive share gains and increase diversification. Below the line, we anticipate roughly $2 million in order income, an effective tax rate of 11.5%, and a diluted share count of approximately 161.5 million shares. Accordingly, at the midpoint of the revenue range of $900 million, we intend to deliver diluted earnings per share of $1.21. Operator, let's open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Chris Caso with Wolfe Research. Your line is open.
Chris Caso: Yes, thank you. Good afternoon. I guess the first question with regard to the worse than seasonal mobile business, you speak about excess inventory. We've unfortunately been hearing excess inventory in mobile for some time. Could you give a few more details on that? And specifically, was this from the Android space or was it beyond the Android space?
Kris Sennesael: Yes, Chris. This is Kris here. Happy to provide some more color as it relates to our guidance for the June quarter. So, specifically in our mobile business, towards the end of the March quarter, especially in the month of March, we saw some below normal seasonal trends with lower than expected end market demand and unfortunately, that resulted in some buildup of inventory in the channel and that was somewhat across our mobile business. Unfortunately, those trends also continued during the four weeks of April. And so we took that all into account as we set our guidance for the June quarter and we do expect our mobile business to be down sequentially 20% to 25%, which is well below normal seasonal patterns. And it's mostly due to the fact that we have to clear out the excess inventory in the channel. On the flip side, in our broad markets business, we do expect to see some modest sequential growth in addition to the modest sequential growth that we saw in the March quarter as well.
Chris Caso: Thank you for the clarification. I guess, as a follow-up, what does this mean for the second half of the year? And typically, you don't guide for the second half on this call, but do you expect those inventory headwinds to persist? Obviously, you have new product launches as you go to the second half, what does that mean for normal seasonality as you go through the second half of the year from these levels?
Kris Sennesael: Yes, Chris, we only guide one quarter at a time, it's somewhat unpredictable what's going to happen three, four quarters down the road. But we do expect that most of the inventory clearance will be done during the June quarter.
Chris Caso: So does that suggest kind of a back to a normal revenue levels or I guess what you're saying is this is a very short-term issue in the June quarter?
Kris Sennesael: Yes, from a demand point of view, that is correct.
Chris Caso: Okay, thank you.
Operator: Thank you. Our next question comes from Matt Ramsay with TD Cowen. Your line is open.
Matthew Ramsay: Thank you very much. Good afternoon, everybody. Guys, I wanted to follow on to Chris' questions there on the mobile segment and is there any correlation at all that we should draw between, is this just a unit and inventory thing or is there any correlation we should draw to potentially expected content and programs that would launch later in the year? Is there a quarter of drawdown of inventory because maybe content has changed one way or the other or should we just not try to make that conclusion? Thanks.
Liam Griffin: Yes, this is Liam. So there's this interesting dynamics here, and I really can't comment on specifics related to our largest customer. However, we will provide as much directional color as possible here. So we were placed in a unique situation with our largest customer, where we were unable to consummate an award that we expected and frankly thought we had earned. As a result, we expect content headwinds from the upcoming cycle. At the same time, we are strategically aligned with our largest customer and we're ready to engage in all of their strategic initiatives going forward.
Kris Sennesael: Yes, and Matt, just to add a little bit more color there, and again, as you know, we can't really go into the specifics as it relates to the large customer, but we were able to partially offset the socket loss that Liam just talked about it with some additional content gains, including some new sockets that we don't have in the current version of the phone. And so, as a result, on a net-net, we expect the content to be down a little more than 10% compared to the current phone model, and that will start having an impact in the September quarter.
Matthew Ramsay: Got it. Guys, I appreciate that very much, and I know it's super sensitive. I kind of need to ask a follow-up here, which is, Liam, if you could try to characterize maybe the chain of events that happened to the extent that you're able to with this, any kind of a performance or quality or product issue with Skyworks program, specifically was this a program change that they made? Any context as to when you guys sort of learned about this and how the whole thing came to pass? Again, I appreciate it. It's super sensitive here on a public call.
Liam Griffin: Yes, I mean, this is not performance related. It's not technology related. In fact, the product has been a stalwart in the portfolio, so nothing like that. Just a unique situation. Can't get into all the details. We're looking forward. We are partners with our largest customer. We expect to do more work in the future and looking forward to that.
Matthew Ramsay: All right. Fair enough. I appreciate the candor. I'll jump back in the queue. Thanks, guys.
Operator: Thank you. Our next question comes from Edward Snyder with Charter Equity Research. Your line is open.
Edward Snyder: Great. Thanks a lot, guys. A couple of questions, if I could. So, Liam or Chris, doesn’t matter, you've got incremental gains in sockets you didn't have last year. I think the general idea here is you won some Wi-Fi that is obviously coming out of mobile, not broad markets, first of all. And secondly, would you characterize any content losses in the second half of the year to be in a, what I would say, a primary product that tends to be very performance driven or is it kind of a marginal product where a number of different people compete and you can qualify for two or three different vendors? Then I have a follow-up please.
Liam Griffin: Yes Ed, unfortunately, I can't give you too much detail here, but as you know, we're striving to gain share in every sockets that we're addressing today, whether the largest customer or some of the other players. The technology's there. I mean, this is not a technology gap. This is really some commercial issues that were unique and we're getting through it and we expect to be able to turn up the revenue here as we go forward.
Edward Snyder: Okay, maybe we can go out a little bit further and I know you don't like to give guidance, but just generally characterizes the content picture saying 2025, I don't know if you want to go out to 2026 or so, but it's clear that from our research, the AI showing up in phones, in any of the phones, especially the flagship models, is impacting the RF section in kind of an unforeseen way in that you are obviously not participating in the machine learning part of it, but to make room for batteries, make room for more processing, and to squeeze the battery consumption in the footprint, it sounds like especially your flagship customers are starting to turn the screws to the RF guys to get smaller packaging. So even if the performance doesn't change, it sounds like the packaging is, which is already quite difficult, is going to get substantially more. So what impact do you expect this to have, generally speaking, on revenue in flagship phones? And will it occur in 2025 or we have to wait to 2026 to start seeing these results? Thanks.
Liam Griffin: Yes, Ed, great question. I'm glad you asked. So, as you know, if we think about the mobile phone today, which we can't live without. Right? Everybody needs it. So much activity on that device and it's an incredible, incredible product. But when you start to go into Generative AI, as you know, the compute power is going to be so, so high, the current consumption, all of that action is going to burn up your battery. So you've got to step up into a new set of solutions that we're working on right now that will be more power efficient that will be mark-to-market around mobility, but with Gen AI right in this rife zone. So we're really excited with that and we've been talking to the larger customers and players with that as well. We have the toolbox to create unique solutions across multiple customer sets. But if you think about it, the technology burden there is going to be so high. The amount of data back and forth from the handheld to the server is going to be immense. It's going to be very, very difficult. So I think it's going to narrow down the playing field in mobile for customers that you see, and then opportunities at Skyworks to really work with the best and brightest in our space to create elegant new solutions. So we're really looking forward to that and more to come.
Operator: Thank you. Our next question comes from Karl Ackerman with BMP Paribas. Your line is open.
Karl Ackerman: Yes, thank you. I realize you've been moderating CapEx following a significant investment year in 2022, but CapEx is also down over 50% in the first half of 2024 relative to last year. And so I was curious, Kris, if you could give an updated view on your CapEx this year and how do we reconcile that outlook with your longer-term opportunities that you discussed in broad markets as well as 5G handsets?
Kris Sennesael: Yes, Karl, we've talked about that before. We had multiple years where CapEx was running in the 10%, 11%, 12% to revenue, where we build out our manufacturing assets, especially our filter operation, adding substantial amount of capacity, but also in our back end operation where we do very complex integration, assembly and test. So those heavy CapEx years are behind us. We are now focusing more on driving efficiency, yield improvements, test time reductions, die shrinks, and we are creating additional capacity in doing so and focusing on those operational improvements. In addition to that, as you know, revenue has been down year-over-year, so we do have underutilized factories right now. We can substantially grow the revenue without having to add a lot more CapEx. There will always be some CapEx because we need to continue to advance our technology, advance our product roadmaps, and that will require some level of technology driven CapEx. But it's going to remain for many, many years here in the low single digits as a percent to revenue, and that will continue to fuel a very strong free cash flow.
Karl Ackerman: Yes, I appreciate that. If I may sneak in another one, Kris you also mentioned about an expansion of gross margins in the second half. It sounds like broad markets is improving throughout the second half. It also sounds like gross margins have troughed in the March quarter. But perhaps could you just discuss some ways to which you can improve margins in the mobile business as volumes come back and perhaps could we also see 50% margins over the next couple of quarters and any thoughts on timing of that? Thank you.
Kris Sennesael: Yes Karl, so we did 45 in March. We guided up 100 basis points at the midpoint of the guidance range for June. We also said in the prepared remarks that we continue to see further gross margins improvements in the remainder of 2024 and beyond. And the three key drivers, which is applicable to our broad markets as well as to our mobile business is driving cost reductions internally as well as externally with all the suppliers that we have. I already indicated that in my previous answer, yield improvements, test time reductions, overall cost reductions, and we are making good progress and we actually can do a lot more and the teams are working really hard on that. The second element, as you indicated, yes broad markets has above average gross margin compared to mobile and so we have a little bit of a mixed tailwind there as well. And then thirdly, it's factory utilization. Keep in mind that we have been drastically reducing our internal inventory for five quarters in a row by now and so we are, I'm comfortable with where inventory levels are right now, so that is no longer going to be a headwind as well. And so as revenue will start growing here and no longer inventory reductions, we will start seeing improvements in factory utilization. And a combination of all of that gives me confidence that gross margins will continue to improve from here.
Karl Ackerman: Thank you.
Operator: Thank you. Our next question comes from Thomas O'Malley with Barclays. Your line is open.
Thomas O'Malley: Hey, thanks for taking the question. Two parter here for Chris. In the March quarter could you give the percentage of revenue for your largest customer? And then just kind of following up on your comments related to March, you talked about some inventory work done at the customer. Could you to your best of your knowledge, try to describe whether that's existing inventory that's related to the current phone or do you think that is early stages of potentially working down the socket that may be associated with the next phone as well? Are they separate issues or could they potentially be related?
Kris Sennesael: No, it's all related to the current phone. We are not shipping for the next launch yet, so this is all related to the current phone. The large customer was approximately 68% of total revenue in the March quarter. That was down 19% sequentially, which is somewhat in line with normal seasonality. It was down 3% year-over-year. But as I indicated, we probably built up a little bit of inventory in the channel.
Thomas O'Malley: Helpful and then just trying to parse out the pieces for June, you're kind of saying that mobile is down 20% to 25%. Even if you set kind of your largest customer in that range, you still need to see double digit declines on the Android side. So could you maybe describe what's happening in the Android business? I think some of your peers had talked about maybe a weaker Q2, but what are you seeing with those customers there? Thank you.
Kris Sennesael: Yes, our Android business has been stabilizing. So it's approaching $100 million a quarter. All our Android, which is Google, Samsung, and the China players, it has been stabilizing. Obviously there is some seasonality into that business. And yes, June is a little bit of a weaker seasonality in that business, but overall it has been stabilizing. The inventory correction is over. We are making some good traction with design wins that as end customer demand will continue to improve over time, new design wins roll in, we do expect that business to contribute to some nice year-over-year growth in the next four, eight quarters here.
Operator: Thank you. Our next question comes from Ruben Roy with Stifel. Your line is open.
Ruben Roy: Yes, thank you. Liam, I want to switch over to broad markets and just talk about sort of how you're seeing things. Great to see the bottom in December and the modest growth in March and the outlook for June, but relative to 90 days ago, how would you kind of characterize the recovery? Are you still sort of thinking incremental growth quarterly or has anything changed with inventory levels in some of the markets? The data points around auto and industrial have been mixed. So maybe just if you could talk us through the big buckets, IoT, auto, industrial and common infrastructure, that would be helpful?
Liam Griffin: Yes, absolutely. So there's a lot of opportunity and growth that we're seeing in the broad markets. We've been doing a great job with the automotive segments, a lot of technology there, a lot of opportunity. We're growing that business. We continue to look at other players in the space doing quite well. Industrial markets are coming up for us right now. Solar markets are coming up. We're seeing some good action in PlayStation as well. So we've got kind of a consumer play there, but a lot of volume and a lot of content. So the portfolio is growing, it's diversifying and there's a lot more opportunity out there. We've been kind of focused more on some of the bigger names, but now we start to see a longer roster of opportunities that we can capture. And also just some of the technologies that we brought in from our MSSX lab deal is giving us more green shoots and opportunities as we look long.
Ruben Roy: Thanks for that, Liam. I guess just a quick follow-up just on the inventory levels around those buckets. Have they improved to kind of where you thought they would or have any of the big buckets been a little bit slower or not?
Kris Sennesael: Yes, it depends on which part of the broad markets you are looking at. If you look more at the consumer IoT, the edge IoT connectivity products, that has been improving for many quarters now. I think that market is getting stronger. We obviously have some strong technology transfer that is going on as we upgrade to Wi-Fi 6E, and 7 and bookings has been improving with a book-to-bill above one in that part of the market. When you look at infrastructure networking data center, that market has been, as you probably have heard from peers and competitors, a little bit soft. There is some inventory that needs to be cleared out. So we are under-shipping natural demand right now. It's going to take a couple of quarters for that business to really bounce back and in the meantime we have to clear out the inventory. And then automotive and industrial there again you've heard from peers and competitors, there is definitely in certain spots, some excess inventory that needs to be flushed out. Again for Skyworks, we're doing real reasonably well in that market, given just the product cycle, the ramp of connectivity in the car, the ramp with our power isolation for EV, we're doing well with our radio processor in the car. And so we are bucking the trend there a little bit in a tough environment.
Ruben Roy: I appreciate the detail, Kris.
Operator: Thank you. Our next question comes from Timothy Arcuri with UBS. Your line is open.
Unidentified Analyst: Hi, this is Amaan here jumping in for Tim. I just want to ask, what was the China mobile revenue, China as a percentage of total mobile revenue and what is your expectation for that business going forward? As you know, sell through at certain China OEMs appears to be bouncing back. So how should we think about the trajectory of that going forward? Thank you.
Kris Sennesael: Yes. Our China mobile revenue is still de minimis. It has been improving quarter after quarter, but still on a relatively low level. I mean, we have great relationship with Oppo, Vivo, Xiaomi, the three main players there. Design win momentum is picking up a little bit, but the overall end customer demand environment is still somewhat soft. I think that's the best way to characterize that. But again, I think over time, especially when I'm looking forward to fiscal 2025, we do expect to see some meaningful year-over-year growth in that business.
Operator: Thank you. Our next question comes from Peter Peng with JPMorgan. Your line is open.
Peter Peng: Hi. Thanks for taking my question. On the Android point, you talked about it approaching $100 million. I believe your previous peak was kind of closer to $200 million per quarter. As you kind of look out into 2025 and 2026, is there anything that precludes you to getting back to those kind of levels?
Kris Sennesael: I think it's going to be difficult to get back to the highest peaks that we have seen in the past because that was overdrive. Remember, that was in the COVID years where all customers were screaming to get more parts and then they ended up with a lot of excess inventory that took more than a year to burn off. But directionally, yes. I mean, it's at $100 million. I mean, we want to get back to $125 million or $150 million, $200 million. And we are focused on that. We do have the technology. We are adding more resources in terms of product development to go after those opportunities. And as end customer demand improves and the design wins roll in, we will see some really good revenue growth in those segments.
Liam Griffin: And I'll just jump in on that. If you think about where we are with Android, we've got really strong engagement with Google and Samsung, high end players, a lot of volume. So it's not so much the Oppo, Vivo, Xiaomi for us, but it's more around the Samsung and Google players that right now are ramping very well.
Peter Peng: Got it. And I have a problem on the broad market. So you have one out of the three segments that's actually bottoming and recovering and your still -- the implicit growth rate is 4%. So as we kind of look into the back half of the year, as things kind of -- inventory adjustment abate in the other two segments, should we kind of be expecting more of an accelerating sequential growth as we move through the year?
Kris Sennesael: Absolutely, absolutely. So currently it's only modest. Like in March it was 1% sequentially. In June we expect 2%, 3% sequentially, but then as we look out in the next couple of quarters, we do and expect an acceleration of that sequential growth getting back to initially modest year-over-year growth, but then translating into strong double digit year-over-year growth in our broad markets business.
Peter Peng: Thank you.
Operator: Thank you. Our next question comes from Cody Acree with The Benchmark Company. Your line is open.
Cody Acree: Yes, thanks, guys, for taking my question. You didn't mention Huawei in your specific comments around China. I guess like any comments on that OEM, given their success in that market?
Liam Griffin: Yes, we're still not engaged with Huawei. But again, we will work the Android markets with some of the other players that we talked about. So but Huawei for now, I think, has really been kind of on the bench.
Cody Acree: Is there any specific reason for that?
Liam Griffin: Well, there are still just a couple things. I mean the product quality there that we look at is just not really up to, that's not for us, and still just very difficult environment in that marketplace.
Cody Acree: Okay. And then I guess just lastly, any further comment on your AI comments in prepared remarks about content and dollar content opportunities in both, in addition to just unit volume replacement cycles, any framework of how you expect those dollar content increases to layer in as we're just now starting to get any kind of real Gen AI unit volumes across the channel?
Liam Griffin: Yes. Great question. So, if you actually think about it right now, we've been really long in the tooth here with upgrades across the board in mobile, across the whole market. So without AI, the market is, we believe is going to inflect with resurgence of growth in terms of units. That's one part. But when you get into the AI side, we talked about it a little bit earlier, we're going to need to do some tremendous things in the smartphone world to actually catalyze what AI needs to do. There's going to be upgrades in servers, there's going to be upgrades on the device, and it's going to drive tremendous power. And power is really, really important. When you think about data center, you hear all these things from Nvidia. They're powered. They're powered to a server. Mobile is mobile or untethered. So the burden on technology in the smartphone world is really going to go up and it's going to narrow the playing field. And I love our chances. We've got a great business. We've got in-house technologies, great engineering, a long, long live set of solutions and know how that we built over the years. So we're really looking forward to it. I think we talked about it already. The smartphone market today already is kind of slowed down. It's turned for an upgrade right now. So the intersection between AI and smartphone growth could be really special. So we're looking forward to it. We have a lot of the key building blocks and our engineering teams know exactly what to do to turn this on. So we're definitely anticipating some upside here.
Cody Acree: Liam, thanks for that. I guess just further that though, are there specific areas of the front end module that you expect to benefit more in the short-term as processing rates are going higher, as connectivity demands are increased? Is it more a thermal issue? Is it more a transferability or switching or intended tuning for that matter?
Liam Griffin: Yes, I mean, there are more paths, uplink and downlink. You got carrier aggregation here, better filters that we do in-house, engaging in with Wi-Fi as well. And there's also going to be a range of new frequency bands as you move forward into those devices, so there's a lot to do. And just that technology alone is going to be amazing. But also the smartphone opportunity today with all those legacy phones that want to turn over to a new upgrade, I think are all going to come together, so we're looking forward to that. We're doing the technical work to make it happen, and we'll keep you posted.
Cody Acree: All right, great. Thank you.
Liam Griffin: Sure.
Operator: Thank you. Our next question comes from Quinn Bolton with Needham & Company. Your line is open.
Quinn Bolton: Hey Liam and Kris, thanks for taking my question. I guess, I wanted to start; you opened the call kind of talking about the slower demand environment in March and April that's led to this inventory correction in the June quarter. But I guess I'm, I haven't heard you guys say that you've necessarily seen the end of that demand softness. And so what signals are you looking for? Have you already seen that give you confidence that this inventory correction is going to be limited to only the June quarter? Are you starting to see demand signals strengthen as you look past the June quarter?
Kris Sennesael: And, Quinn, so this is not a major, major correction, right? This is just some softer than expected demand that we see. We're not talking here about a huge major correction. And again, based on customer forecasts and our own intelligence about what's going on into the market, we think that we'll be mostly flushed out in the June quarter and in the guide that we provided for the June.
Quinn Bolton: Okay, so it sounds like the forecast from customers that lead you to believe it's largely limited to the June quarter.
Kris Sennesael: That's correct. Yes.
Quinn Bolton: Understood. And then I know it's sensitive, but just coming back to the socket loss at the large customer, it sounds like your think this may be sort of a near-term commercial issue. But I guess I just wanted to ask, do you think there's any read throughs from this that might signal a move to sort of a multi-sourcing strategy at that customer where they're looking to bring in additional suppliers across all sockets just for supplier diversity reasons or again, do you think it's kind of more limited to one year, one socket?
Liam Griffin: Oh, yes. It's one year, one socket, for sure and we have very, very good eyes on that. Like I said, we'll wrap it up, but the product in question, we know how to make, and we look forward to continuing to deliver that and others as we go forward, so we appreciate that.
Quinn Bolton: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back over to Liam for closing remarks.
Liam Griffin: Thanks, everyone, for participating in today's call. We will look forward to talking to you at upcoming investor conferences during the quarter. Thanks.
Operator: Thank you for your participation. This does conclude the program and you may now disconnect. Everyone have a great day.